Operator: Good day, everyone, and welcome to the Globe Specialty Metals First Quarter Fiscal Year 2015 Earnings Results Conference Call. This call is being recorded. With us today from the company is Jeff Bradley, Chief Executive Officer; and Joe Ragan, Chief Financial Officer. At this time, I would like to turn the call over to Mr. Ragan. Please go ahead, sir.
Joseph D. Ragan: Good morning, and thank you for joining the Globe Specialty Metals First Quarter of Fiscal Year 2015 Conference Call. I'm going to read a brief statement and then hand it over to our CEO, Jeff Bradley. Statements made by management during this conference call that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Globe's most recent SEC filings and the exhibits to those filings, which are available on our web page, www.glbsm.com. In addition, this discussion includes EBITDA, adjusted EBITDA and adjusted diluted earnings per share, which are non-GAAP measures. Reconciliations of these non-GAAP measures may be found in our most recent SEC filings. Now for Jeff Bradley, Globe Specialty Metals' CEO.
Jeffrey K. Bradley: Good morning, everyone. Thank you for joining us on the call this morning to review our fiscal 2015 first quarter. The new fiscal year is off to a good start, and it's just the beginning of what we've been saying for a while. 2015 is shaping up to be a very good year. Adjusted EBITDA of $34.6 million was up 62% from the first fiscal quarter of last year, and adjusted EBITDA margins were up 36% over the same period in fiscal 2014. Net income grew significantly to $12.6 million for the quarter, and adjusted diluted earnings per share of $0.19 were more than double last year's results. Revenues of $206 million also showed double-digit growth over our first fiscal quarter of 2014. Demand continues to improve across all the markets we serve, which is driving our top line growth and our higher profit margins. Our silicone customers are reporting strong business levels as their end markets such as construction, automotive, electronics, personal care products, continue to increase at rates higher than GDP. And the U.S. auto industry just reported its strongest U.S. October sales in 10 years. Solar also continues to show very positive growth. Over 50% of new electric generating capacity in the U.S. in the first half of 2014 came from solar, and globally, solar installations are expected to exceed 40 gigawatts this year. We have started to negotiate and contract silicon metal for calendar 2015. Overall, we are very pleased with the business and pricing we've secured. We have already contracted in excess of 85% of our silicon order book, which is well ahead of where we were last year at this time, and we are considering increasing silicon metal production capacity by leveraging our proprietary process that enables rapid conversion capability. As we've done in past years, we are not going to disclose pricing levels or percentage of spot versus firm until we have completed all of our negotiations. A year ago, in our fiscal 2014 first quarter call, I said "We expect another $15 million of savings in fiscal 2015 -- '14," I'm sorry. I'm pleased to report that we not only met that goal, we exceeded it. This year, we have embarked on a new cost savings and cost increase avoidance program that is already yielding results. We had a number of planned outages in the quarter that impacted our silicon alloys shipments. We had routine 18-month outages in Bridgeport, Alabama, and one of our major ferrosilicon furnaces in Beverly, Ohio. These outages resulted in lost production of more than 3,000 metric tons in the quarter. I'm pleased to report that both furnaces are back in operation and running well. We also commenced production at our new facility in South Africa. We started up one of the 2 furnaces in October and are making our first shipments to customers in South Africa. The second furnace is scheduled to come up next month. Our Alden coal business performed very well in the quarter. We had record shipments of low ash coal and continue to add reserves to our already large total reserve base. Our fume business continues to perform well as demand from our 2 major end markets, cement and oil and gas drilling, continues to be robust. Yesterday, our Board of Directors approved a quarterly dividend of $0.075 per share payable on December 22, and they extended the authorization for the share buyback until December 31, 2015. The company has $45.8 million of share repurchase availability remaining on the plan. And finally, on the business development side, we continue to pursue accretive transactions that will drive shareholder value. Joe?
Joseph D. Ragan: Thanks, Jeff. Net income was $12.6 million, up 284% from the first quarter of last year and up 76% from the prior quarter. Adjusted diluted earnings per share attributable to GSM for the first quarter were at $0.19, up 138% from the prior year and up 6% sequentially. These results were driven by strong EBITDA performance, which increased 62% from the prior year and 5% from the prior quarter on an adjusted basis. On a margin percentage basis, adjusted EBITDA margin increased 4.4% when compared to the first quarter of last year and 0.7% when compared to the prior quarter. During the first quarter, sales were up 19% year-over-year and 0.4% sequentially. Next slide. As I mentioned, sales increased 19% year-over-year and 0.4% sequentially, while gross margin percent increased 4.7% year-over-year and was flat sequentially, representing a nominal EBITDA margin increase of 62% year-over-year and up 5% compared to the prior quarter. Net income improved 304% year-over-year and 9% when compared to the fourth quarter, illustrating the strong overall operating performance of the company during the quarter. Next slide. The largest special items that occurred during the quarter were related to the remeasurement of stock options, the Siltech start-up in South Africa and the costs related to a business interruption claim during the quarter. Approximately $2 million was spent as we executed the start-up of the South African plant, which is on track with one furnace currently running and the second one to be running by year-end. These adjustments were offset by removing the benefit in the quarter from remeasuring our stock option. The result of the start-up of Siltech and the other adjustments noted on the slide was an adjusted EBITDA for the quarter of $34.6 million, up 5% sequentially third quarter. Next slide. On a reported basis, results were significantly higher than the fourth quarter of 2014. Reported EBITDA increased 10% sequentially and reported diluted EPS increased 100% when compared to the prior quarter. Next slide. During the quarter, we had improved price volume and mix, which drove the increase in EBITDA, which was offset by a higher operating cost due to increased planned maintenance outages during the quarter, ending the quarter with an adjusted EBITDA of $34.6 million. Next slide. Cash generation from operations for the quarter was strong, continuing to reduce our net debt at the end of the quarter. As we look forward to fiscal 2015, we expect continued solid performance with the impact of price increases reading through following January 1, 2015, and the contract renegotiations that are currently underway. We'd now like to open the call to questions.
Operator: [Operator Instructions] Our first question comes from the line of Ian Zaffino of Oppenheimer.
Ian A. Zaffino - Oppenheimer & Co. Inc., Research Division: Jeff, I know you mentioned getting some better yields off of kind of the existing facilities, if you wanted to produce more. Can you go a little bit deeper into that? Are you talking about switching from alloy to metal? Or is there something else up your sleeve?
Jeffrey K. Bradley: No, Ian. Specifically, as I mentioned in the comments, we have the capability, with certain furnaces in the company, to switch back and forth between ferrosilicon and silicon metal. And with silicon pricing where it is and margins where they are, we're taking a very hard look at the potential to convert some of those furnaces that we've been able to configure in such a way that we can convert back and forth between silicon and ferrosilicon. So that's really specifically what I was referring to.
Ian A. Zaffino - Oppenheimer & Co. Inc., Research Division: And then just to talk about pricing a little bit on the metal side versus the alloy side. Why is there such a big spread now between the metal side and the alloy side that's causing you to switch? Is it the end demand? Is it production? What are you really seeing there that's causing that difference between the metal and the alloy prices?
Jeffrey K. Bradley: Sure. You're right. You have to look at the demand from the markets that each of the product is going into. Silicon metal, 3 major markets there would be silicones and aluminum and solar. All of those markets are growing. Solar is growing in -- growing at the highest rate, but aluminum is heavily tied to auto. We see very good growth in aluminum and chemicals or silicones are growing at GDP plus. So very different markets than the silicon alloy markets. When you look at the ferrosilicon business and the specialty silicon alloy business, our end market is the production of steel but our focus is really on the specialty products. We focus on specialty steels, stainless steels and electrical steels and all the specialty products where the margins are higher. On the foundry side, most of that business ends up in auto. And at the end of the day, the markets, the end markets are just different. And we see higher growth rates and more demand on the silicon metal side than we do on the silicon alloy side, which ultimately will drive pricing.
Operator: And our next question comes from the line of Luke Folta of Jefferies.
Luke Folta - Jefferies LLC, Research Division: I guess first question, just a point of clarification, the 85% that you're booked out for, for next year's contracts, would that include the additional capacity that could come from a furnace conversion? Or is that just an option you're sort of leaving open for...
Jeffrey K. Bradley: It's an option that we're leaving open.
Luke Folta - Jefferies LLC, Research Division: Okay. And then just on the contracts for next year, we can get pretty close to what the price change could be, just looking at the market data. But a couple of other factors that I just wanted to discuss, one being there's talk about variable contract discount, the discount spreads actually thinning some, which would suggest, perhaps, maybe additional upside in terms of margin inside those contracts in the next year. And also, with the -- some of the Brazilian capacity or a lot of the Brazilian capacity being offline, there's just discussions around the concept of the mix out there that's available, some of the higher-margin stuff or higher-value stuff that they were supplying isn't being appropriately supplied. And I was curious to know if you think that there's like a mix benefit that would also sort of factor in for next year.
Jeffrey K. Bradley: So let me just say again that we're really not going to disclose until we've finalized everything, the pricing levels or even percentage of spot versus firm. But let me also add on the Brazil point. We see very good demand from our end markets, and I can assure you, we will take advantage of any opportunities we have to increase the margins on our business, which ultimately will drive shareholder value.
Luke Folta - Jefferies LLC, Research Division: Okay. The second, I guess, on the Bacher [ph] Chemi-Poly plant that looks like it's going to be starting up this year, anything you could say as to what your participation might be in that in terms of supplying the additional capacity?
Jeffrey K. Bradley: No, we're not going to disclose that but we have heard just what you have heard. I believe the plant is scheduled to start up at the middle of next year and that should only be a plus for the market. And it's also a testament to what we've been saying about solar and the growth in solar.
Luke Folta - Jefferies LLC, Research Division: Okay. On the import side, Brazil, capacity being down, we've seen some strength in the U.S. dollar as well. Has that impacted the way trade flows are acting just in terms of imported product? It seems like the incremental supply could come from Europe but Europe seems like it's sort of getting better as well, so prices are going up there. Any color on sort of what you're seeing there would be helpful.
Jeffrey K. Bradley: No, I would agree with you. I mean, I've talked to a couple of folks the past couple of weeks about Europe, and the European markets are very healthy. Demand there is strong. Brazil, I think, as a lot of people know, has been suffering from a drought for the past year. There's a lot of silicon capacity down in Brazil right now. And on top of the capacity being down in Brazil, the power contracts in Brazil are resetting January 1 of next year, so we have a double effect there. Power prices are going up, capacity is down, demand in U.S. is very good, demand in Europe is very good, again, just all of this leads to our optimism for next year across the board.
Luke Folta - Jefferies LLC, Research Division: Great. Just one more, if I could, around Siltech. So you've got -- production started there. Anything you can give us now that you're -- that capacity is starting to ramp up in terms of what the cost structure sort of looks like or how do you think about it relative to your other ferro plants in the U.S.?
Jeffrey K. Bradley: No, we're not going to discuss that on this call. We have just gotten the plant started. We're very excited about what we're seeing. The furnaces are in very good shape. It should be a very good plant for us.
Operator: And our next question comes from the line of Ian Corydon of the B. Riley and Associates.
Ian Corydon - B. Riley Caris, Research Division: Just in terms of contracting well ahead of the pace you were at last year, was that driven by customer requests? Or was that driven by your own desire to contract early?
Jeffrey K. Bradley: It was driven by both. I just -- again, it's just a sign, I think, of the year we're entering into, Ian. Next year is going to be a very good year. Demand is very good. It's all coming together very well for us.
Ian Corydon - B. Riley Caris, Research Division: Got it. And on Siltech, is that expected to be running at capacity by the end of December?
Jeffrey K. Bradley: No. We're going to have -- I believe I stated that the second furnace will be coming up next month. So there's a ramp-up schedule. We're ramping the first furnace now. I would assume the first furnace will take this quarter to ramp. The second furnace could take a couple of months to ramp up, work out all the bugs. So we should be at capacity some time by the middle of next year.
Ian Corydon - B. Riley Caris, Research Division: Okay. And have you secured customers for that capacity?
Jeffrey K. Bradley: Yes.
Ian Corydon - B. Riley Caris, Research Division: Okay. And given that extra alloy capacity coming on at Siltech and given the demand that you're seeing in silicon metal being stronger than alloys, could you possibly switch over all the furnaces that are switchable to silicon metal this year?
Jeffrey K. Bradley: Again, we're not going to disclose that. All we're going to say is that we've identified, we've configured, we have a proprietary process to configure the furnaces and we're taking a very strong look at it, and we will do whatever we can to drive our business to higher levels.
Operator: And our next question comes from Vincent Anderson of Stifel.
Vincent Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: This coal silo collapse with Eskom in South Africa, no impact on Siltech's ramp from that?
Jeffrey K. Bradley: Didn't understand the question. What was the question?
Vincent Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: Eskom in South Africa reported a significant amount of power capacity offline due to some issues with their coal infrastructure. Is there any impact on Siltech's ramp from that?
Jeffrey K. Bradley: No.
Vincent Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And just going down the list here. What is the current progress with appealing the determination of these antidumping duties against Russia and Venezuela? Have there been any further proceedings since that was passed down?
Jeffrey K. Bradley: We have appealed it and that's really all we're going to comment at this point in time.
Vincent Anderson - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay, okay. And just one more question. You mentioned that you're adding reserves to your coal mining operations. I was just curious, is that through further exploration? Or are you actively receiving permits for reserves that you already hold?
Jeffrey K. Bradley: It's actually both. We have a drill team in place and we are constantly looking to add reserves to what we already have.
Operator: And our next question comes from the line of Garrett Nelson of BB&T Capital.
Garrett S. Nelson - BB&T Capital Markets, Research Division: Given your history of growth through acquisitions, I'm a little surprised you haven't announced an acquisition so far this year. But it sounds like you continue to look at opportunities. What kinds of opportunities are you seeing out there? Is it more on the smelter side similar to Siltech? Or are you also looking at opportunities on the raw material side?
Jeffrey K. Bradley: Alan is very active. Alan Kestenbaum, our Chairman, spearheads all of the M&A and the business development here, and he's looking at what we've always done in the past, accretive opportunities, niche opportunities, opportunities close to home, businesses we understand. I can tell you he's very active, and stay tuned. I mean, we will -- as things develop, we'll report them.
Garrett S. Nelson - BB&T Capital Markets, Research Division: Okay. And then just a couple housekeeping questions. What CapEx should we be modeling for fiscal 2015?
Joseph D. Ragan: We've -- Garrett, we're projecting between $45 million and $50 million. Our run rate has been about $45 million. It's a little bit higher this year as we've invested in the Siltech start-up.
Garrett S. Nelson - BB&T Capital Markets, Research Division: Okay. And then also, what effective tax rate should we be modeling?
Joseph D. Ragan: We are looking at the effective tax rate now and we're at about 36%.
Operator: [Operator Instructions] And at this time, I'm showing there are no participants in the queue. I would like to turn the call back over to management for any closing remarks.
Jeffrey K. Bradley: Thank you very much, everyone. We really appreciate your interest in the company, and we look forward to talking to you on the next call. Have a great day.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This concludes the program. You may now disconnect. Everyone, have a great day.